Regis Massuyeau: Okay, good morning. Good morning all, for those being in Paris and for everybody being connected. Thanks for listening to us this morning. On today, we're going to present 2016 Full Year Danone Results. I would like to invite you to go as a classic - through the disclaimer which is Page 2 and remind you that all definitions are on the back of the presentation. So we're going to close the door here in Paris and we'll now welcome Cécile to start with the financial results. So Cécile?
Cécile Cabanis: Thank you, Regis. Good morning to all. I'm very happy to be here this morning to go through the results of 2016. I will start with the detail of the results and then Emmanuel will give you a progress report on our transformation agenda. Before I go into the details of each indicator, I think it's important to push on the overall key highlights because as you can see, this key performance indicators really illustrates our agenda and our ability in order to progress on building more resilient models through increased discipline, better resource allocation and strong management of risk and opportunities. As you know, quarter-after-quarter we have been able to give you our efficiency, increase our efficiency and review and manage our resource allocation, so as to be very careful not to go for tactical short term growth opportunities. So in an environment that will continue to be volatile, where we have market in transition and where the growth has slowed down, these results clearly show our commitment in order to react and to be able to deliver strong financial results while we are continuing to transform our model for the future. Being able to deliver a very strong EPS growth through a significant increase of margin is the result of our day-to-day discipline and focus on monitoring our results. If I move and if I look at the rest three years, on this chart you really have the illustration of the model we said we wanted to build and make progress on which is really a rebalancing of the model towards the right combination between sales and margin. And as you see on the left side you have the fragile environments and some transition market which has led to the growth to slowdown basically it's a combination of different elements. The first one is macroeconomic deterioration in some of our key markets mainly Brazil and Argentina. It's also the effect of the transition in China of two of our categories. It's as well slower turnaround of Daily Europe than we had expected and I will come back to that. And finally it’s also a very solid performance on all user regions and category of Danone. On the right, as you can see the margin evolution which perfectly illustrates once again increased discipline and continued focus on efficiency and which has led us to deliver profitable growth into 2015 and to significantly increase margin into 2016 that has compensated the growth deceleration and that has led to a very strong recurring EPS growth of 9.3% that you see on chart 7 for those who are behind the camera. And this is really illustrating our some commitment as we shall previously we will ensure that we continue to drive a combination of sales and margins that will consistently flow into securing gradual and solid EPS growth for the future. Discipline has also led us to a significant increase of free cash flow as you see on the right plus 16.8%. Some of you challenged us last February because we were not giving any guidance on cash. Well as you can see it illustrates that it is really on top of our agenda and given the fact that we will be financing the acquisition of WhiteWave, it will remain a very strong focus of the agenda to make sure that we both deleverage at the right pace but also that we keep the flexibility to finance our future growth. So let me go now into the details and I will start with the classical sales bridge. On a full year basis we have a like for like sales growth of 2.9% and on the reported basis the growth is minus 2.1%. Going from left to right, the reported growth is including negative currency impact of 5.5%, which is mainly driven by the Argentinean peso, the Russian ruble, the Mexican peso and the Brazilian real. In terms of scope, we have a slight favorable impact of 0.5%. This is linked to the consolidation of Fan Milk at the end of 2015 and this brings me to the like for like performance of 2.9% which is made of a slight negative volume effect of 0.2% and the positive value effect of 3.1% which obviously reflects different dynamics when we go school categories and regions but overall it clearly show our capacity to increase the value and manage our portfolio. Let me now go to the regional dynamics and I will start - I'm on Page 10 and I will start with Europe. In 2016 as we shared during the quarterlies of last year that has been sequential decrease which has been driven by the change of model operated in early life nutrition in for the Chinese market and to some extent, some movements from the traders of the indirect channel from Europe to Oceania. In addition and as we commented in December, we have not yet stabilized the dairy business in Europe because Activia re-launch has not yet made the turnaround of the brand. And I will come to that when I will talk about the fresh dairy category. In Europe still the weather performance has been very good as confirm this year again very healthy growth between volume and value with the positive mix mainly driven by initiative around Aquadrinks and showing a very good job from the teams in competitive market. Finally, medical has delivered a very solid growth performance in Europe. Moving to NORAM and CIS, 4.6% growth for the full year on a like-for-like basis which reflects a very solid momentum in NORAM and a very resilient model in CIS. Starting with NORAM, as you know we've been able to ignite the growth of the category and despite a more competitive markets, thanks to very solid fundamentals and all the work that we have been doing behind innovation and behind our brands to be closer to the consumer, we have gained market share sequentially during the year and we are now at record high of more than 37%. In CIS, we continue to have very difficult context and despite that and despite high negative volume behind the daily part of the business we continue to post a positive growth mid-single digit. This is linked to a positive value impact of price cuts and most of all of all the work that has been done towards pushing to our value added portfolio and I really want to take this opportunity to thank the team in CIS because it has been three years that they've been living in a very tough environment but they've been delivering consistently behind the profitable growth journey of this region. In the Rest of the World if I move to the right part of the chart, we have a strong growth of 6.7% and this despite the transition of Mizone in China. The region continue to rely on strong fundamentals especially the way we are building our direct platform in China that I will comment in a minute but also medical has been very strong in these regions. What outside China has continued to be very strong and then what you see as a sequential slowdown since Q2, it's mainly due to the macroeconomics of LATAM and especially Brazil which is an important market and where consumption environment is becoming very tough for that especially. Moving to the category dynamics, for each category you will see that we put both the sales force and the margin improvement because we think that when we are looking at being more balance in the way we are running the profitable growth model of Danone, it's important to look at the combination of both. So for each one, I will go through both the growth and the margin. So starting with Fresh Dairy on the left part, you have a growth that is 2% for the full year on a like-for-like basis compared to a growth that was 0.6% in 2015 and on the right, you have the margin improvement that has been strong and that has been fully in line with mid-term commitment that we took. So starting with the margin, for the full year 38 basis points improvement which is driven by continued effort to improve both on our portfolio management and on our efficiencies and has led to a significant gross margin improvement behind which we have reinvested behind the brand and led to a full year margin improving 38 basis points. On the top of the chart, you have 82 basis points since 2014 on constant exchange rate base which really relates to the commitment that we took to improve cumulatively the margin by 200 basis points between 2014 and 2020. So you can see that the 82 basis points improvement is showing that we are fully on track and well progressing on this journey. Moving to top line on the left part, as we shared in December we opened daily performance as much improved in Q4. Sales trend has been impacted by Activia's performance and aggregated conditions in Spain. Basically at this stage Activia sales have not progressed and we have not been able to turnaround the brand as a result of the re-launch. We have estimated the speed of the turnaround and given the ambition of the transformation we know that it will take time. The direction is the right one, there are some adjustment that we will do in the short term but overall it's a major transformation that we need to do in a safe way and that will take more time and we will come to that later. Overall the transformation is in progress and as you see we've been able to deliver fully on the other part of the commitment which is on the margin. Just a few words on ALMA whose negative volumes and it is stated also that we have some markets like Brazil that’s came in fragile and that's importance for the outlook of 2017. So maybe moving to that regarding the outlook for 2017, there is no change in the agenda of election. Daily we’ll continue to progress on its profitable growth agenda. We plan for the year modest growth in sales probably close to what we had in Q4 with the start of the year where growth will be slightly negative. In this context we obviously continue to reinforce the model, optimize our portfolio and make sure that we move towards margin improvement. Just to conclude with the right investment with the right decision, we continue transformation of our marketing model and Emmanuel will come back on that. We add what it takes to make it happen. The direction is the right one, we just need to remain focus and discipline on the pace at which we are delivering on these major transformation. Let's move now to waters. So on the left you have the top line growth for the full year that is 2.9% on a like-for-like basis but if we remove the transition of Mizone in China, the growth has been more than 7%. It's the growth that is very healthy both in volume and value that continued to be driven by a positive mix development of Aquadrinks and that has been strong on all our platforms. I mentioned already or I commented already on the European growth. Maybe just to say that ALMA excluding China was very strong and well-balanced between volume and value and one word on the U.S. where we are developing and expanding Evian that is growing very strongly and of course based on the high value oriented portfolio. Just one word on China where we continue the transition of Mizone and we are focusing on two things, the first one which is to protect our market share in an environment that is more and more competitive and the second one is to protect the profitability of these brand. And so for the first one we have been able to stabilize the market share around 5% at the end of the year and this is in a category that is continuously disrupted with more and more competition that are coming from small high-value added brands that are not sticking to the shelves, they have short lifecycles but they are disrupting the category. On the growth what we say in Q3 is still valid meaning that we are not counting on Mizone growth for the quarters to come and we will continue to make sure that we are protecting the brand and the market share and we remain convinced of the potential of this market for the mid and the long term. On the margin, we have been here as well delivering profitable growth equation and this despite the variant available mix that has been created by the Chinese condition. This is mainly again given the fact that on the structural pattern we are improving the value of the portfolio and continuing to work on our efficiencies and it will show the big work that has been done by the Chinese team to make sure that we are protecting the profitability of Mizone's through a big saving plans. In terms of outlook for waters for 2017, we forecast solid growth, growth that will be unbalanced between the first part and the second part of the year, still impacted by the Chinese condition. So just to conclude on water, we will continue our agenda around developing healthier hydration opportunities for people in this great category, continuing to rely on a strong innovation agenda and strong activation of our great brands. Moving to early life nutrition, starting on the left with the top line, so we have a full year growth at 3.5% on a like-for-like basis. If we remove the impact of the indirect transition in China, the growth is mid-single digit. In all our platform we continue to invest to reinforce our position. One important part of the current and future growth is to continue to develop differentiation in the portfolio and I have been sharing with you about tailored nutrition in Q3. Tailored nutrition is an important part of the growth currently and moving forward, it's about products that are on specific needs for babies, as opposed to generic milk breast substitute. It's now around 10% of our portfolio and it's growing more than 10% in 2016. Few words maybe on Chinese transition also I will mostly repeat what we shared in Q3. As you know the regulatory trend have accelerated on the e-commerce and this has speed up the transition of the indirect business which has met traders starting to happily destock in the channel and it's impacting our setting. This transition will continue to create some volatility into 2017, it will continue to impact the overall growth of early life nutrition until the transition is completed and until the regulatory changes are in place in 2018. So as a result of that, the indirect sales have decreased in 2016 and will continue to do so in 2017. As you know we are keeping all the energy and focus in building the sustainable part of the growth model for China which is on the direct channel and we are growing strongly double-digit. We've been able to improve our market shares in MBS and we have had another record there and an excellent performance during the Double Eleven event. So there are all definitions are in place. We are continuing to focus on making sure that we build this sustainable growth model and in the shorter term there will continue to be volatility. In order to build our agenda, we are relying on very strong assets which are our brands and our number one position on e-commerce. In terms of margin, you see very significant improvement in the margin like-for-like of 167 basis points. This is made of both structural and contextual elements. On the structural part the growth and the favorable mix impacts have of course been drivers of improvement and on the contextual part, it's basically mainly two things which we discussed at the end of 2015 which where the - which are the reverse effect of the cost in 2015 that we had related to adaptation plan in Dumex and also cost that we incurred as a results of the fire in our plant Cuijk in the Netherlands. So that's it for 2016. One word on the outlook, so on the outlook as I mentioned the volatility driven by the conviction of the indirect channel for China will continue to impact the performance. From one quarter to another we might see some volatility and we will start the year with the Q1 that will be a low to mid single digit positive. Finally for the category Medical Nutrition, another great year and great performance on both growth and margin development which is if I took both growth across the board on all regions driven especially by the pediatric segments behind a brand Neocate but also by the adults tube segments and a very strong improving margin on the basis of the growth and the positive mix. So overall again Medical Nutrition is fully - especially also given its level of profitability contributing to the profitable agenda of Danone - growth agenda of Danone and the value creation for the future. So that's it for the category dynamics. I will now move into the – other indicators and I will start with the margin bridge on Page 16 for those who are not in the room. Danone has delivered very strong increase in margin. As I mentioned earlier we are reporting 87 basis points improvement in margin which again demonstrates significant progress in the way we are working to strengthen the model in an incredibly volatile environment. So if I go to the bridge from left to right, basically positive expected scope effect which is related to the consolidation of Dumex for 10 basis points. We are positive slightly - positive impact on currency which is six basis point and is the results of the mix of our different regions and businesses. And that lead me to the important part of the bridge which is the like-for-like important increase of 70 basis points because you will see that it’s clearly illustrates the agenda that I mentioned in the way we want to make our model more resilient. It comes primarily for very significant increase of margin from operation which is around three elements. The first one is additional efficiencies for 50 basis points. The second one is about the way we are improving and managing our portfolio which is bringing around 30 basis points and finally the favorable context of input cost which has brought 40 basis points of improvement. Moving to the right, we have continued to invest significantly 88 basis points throughout the year in order to make sure that we were fueling the growth and the transformation while also relying on resource allocation when we have been very careful not to go for spectacle resource allocation. And in July we told you that we might decide not to allocate some resources given the volatility and the transition of some market and H2 has been a bit less than H1 but overall we continue to reinvest. In term of investments its major parties A&P, it's also sales force across the categories and of course product innovation and investment in recipe in order to make sure that we continue to have the best product and relevance of our recipe. Lastly you have the positive valuation of result, 43 basis points. I'm not coming back on that because it's the impact that I commented on ELN margin improvements. Moving to EPS, so very strong like-for-like EPS performance which is again reflecting our commitment to ensure that profitable growth is flowing into EPS in a consistent manner. The 2016 EPS is at €3.10 and if we go through the bridge, we have a reported growth of 5.6% which basically include on the right negative currency impact of 5.2% and a positive scope impact of 1.5% still related to the deconsolidation of Dumex. And on the like-for-like basis very strong 9.3% improvement which is the reflection of the combination of growth and margin that is flowing in a consistent manner into the EPS growth. So this is again the illustration of the focus and the efforts that are been put behind rebalancing and strengthening our model and in a context where growth has turn down, we have been very disciplined in the way we allocate resources but also in the way we manage our efficiencies to ensure the right combination of both top line growth and margin improvement to make sure we deliver on our financial commitments. As I mentioned in the beginning and as important part of the agenda is the free cash flow and the free cash flow has increased in a very strong manner by 16.8%. If I move to the indicators basically on working capital on sales what we said is that today we are really best-in-class in the way all the indicators of the working capitals are delivered. We said also that given the mix of sales we will not be able to increase this very strong performance which is high negative lever on sales but that we would be very careful to maintain this level so that's basically what we have done in 2016. Then on the right side, the 4.2% CapEx on sales really show our commitment on being disciplined in allocating the resource but making sure we are fueling our growth for the future in a proper manner. Just one thing on the 2016 CapEx, mostly it has been on early life nutrition increase capacity and we talked about that and it has been also but development project for Africa. One word on the change of net debt. So if you see the bridge on Page 20 basically the net debt are slightly decreased by 300 million. The financing of the acquisition of WhiteWave is obviously not impacted this bridge because as you know the bonds were raised but at the same time there has been invested in money market front so this is offsetting a net debt level and you don’t see any impact of that. By the way just one word on that, when - or if we were to raise the debt today the conditions would be less favorable than when we did. So it's important to just say that the timing that we have chosen which was early November was the right timing in order to maximize and optimize the financial cost of this debt. So basically back to the 2016 bridge, the major impact was really the dividend payment of 1.1 billion in cash but there is nothing specific to comment other than that. Just to say that because I just mentioned WhiteWave, of course as I said at the beginning, cash is very top on the agenda and we will make sure that we are both delivering - the deleverage according to the commitment and also making sure that we keep the full flexibility for financing our growth. The balance sheet very quickly it's very solid, there is no major change compared to last year so I will not make any specific comments which brings me to the dividend. The Board has decided to propose for the next AGM an increase of the dividend to €1.70 per share which is an increase of 6.3%. That's usually reported EPS growth of 5.6% which clearly show the confidence we have in the ability of Danone to see its agenda of profitable growth for the future. Just a few words of concluding remarks before Emmanuel goes through the progress of our transformation journey. Back to 2016 we have continued to make major progress in rebalancing our model of growth, in increasing the resilience of the model and make sure we were delivering behind our commitment of profitable growth leading to a very strong like for like EPS growth. We have been very disciplined and we have been very focused on our mid-term destination. We have made sure that we were not pushing for short term practical growth at any cost and as I told you many times its back to the pace. The pace is central to our agenda. We are evolving in more and more volatile environment. We have transitioning markets and we need to make sure that we continue to focus on the direction and on the plans that will take us there. We need to raise this journey at the right rhythm and not at the highest speed possible. So to that extend the context will not change and we will continue to face volatile environment and in order to be able to continue to increase the resilience of the model, we have decided to decouple the mid-term growth agenda with the short-term efficiency agenda and we will link them through our renewed resource allocation process which has delivered in 2016. This will lead us to first secure the profitability of our model and make sure we have the fuel to invest behind the growth and this will ensure and continue to ensure the relevant combination between growth on one side and margin on the other side to make sure that we secure our growth delivery of EPS. In term of outlook for 2017, I'm talking now at current perimeter. We will come back with an adjusted guidance once the transaction of WhiteWave is closed but coming back to current perimeter we do expect moderate top line growth with the low start of the year which is basically the results of what I described for each of our category and we target to have an EPS recurring growth like for like of more than 5% on a like for like basis. This will obviously be unbalanced between H1 and H2 because of what I just said of the lower start of the year. Thank you for your attention and I will pass the mic to Emmanuel.
Emmanuel Faber: Thank you, Cécile. Good morning everyone. I'm very pleased to share with you our progress report after such an eventful 2016 year and let me start by reframing what we mean when we're talking about the transformation journey that Cécile has just described. What it is about is travelling the word the through the revolution that will lead people to eat and drink differently better in the future. And we started this revolution by writing a Manifesto that was a couple of years ago, a bunch of us and then crowds of people in Danone and outside of Danone basically described what they believed was a foreseeable, sustainable future for an industry like Food and Water in the incredibly complex world in which we are entering. To start this journey and guide this journey, we planted a tree. This is our tree, this is the alimentation tree of Danone. It has roots that are about ingredients, trusted origin, steward to our water resources, zero net CO2, a number of very important components for the trust and the choice of consumers tomorrow but also for the ability to operate with government, NGOs in the - again complex environment in which we are. Then it has a trunk and this trunk is basically helping the growth, the development, the elevation of our brands through three very important principles. One is offering a community relevant proposition for our brands. The second is the superior experience whether it's about service, whether it's about product. The third is healthier choice and this is where Danone is really making a difference. And this allows the leaves that you see on this Page to be elements very important topics of health topics around the world from early life to the end of life that our brands will carry as a proposition to our consumers. We believe that in the future only the brands that will be the fruits of this tree will be able to survive and to thrive in the new environment five, 10 years from now. Then we started sharing this and we started working thousands of people at Danone around the world creating solutions that are basically aligned with what I just described. The fundamental basis for us to be able to do this is that we have a portfolio that is ahead of the curve. The portfolio of businesses of categories that you can see here are among the fastest growing in the world anywhere between 3% and 6% over the last five years, global retail sales value growth for our categories. In these categories as you know, we have leading positions and this is where and how we can change the world through our brands. And very soon we will hopefully add the categories of WhiteWave which again are absolutely on track with this vision of the world and where WhiteWave has a number one worldwide position too. So let me go back for a minute on 2016 in this progress reports, in 2016 no doubt we had a number of challenges behind what has been a robust performance. These challenges are partially outside and partially inside an internal. Outside most of them starting with market volatility, Cécile mentioned that, I would like to restate again that in particular for Brazil and in particular for China these elements will continue in China when it comes to water and ELN transition out of indirect sales on Internet in 2017. So these challenges we had last year we will continue to have this year crediting volatility in our growth in these categories. The next one is one that we have no surprised about. We told you that already two years ago inflation will go back, dairy inflation will go back, it's back. It's been back at the back end of last year, it will be this year too. The third one is in a way outside of our control when it comes with the aggravated consumer conditions in Spain in the fourth quarter of last year but there are in a way also self injuries, inflicted injuries when it comes to significantly lower turnaround of dairy in Europe as the one that we expected and we shared with you even through our Q3 release on numbers of last year. The essence is we expected Activia re-launch to be much more impactful than what it has been. As Cécile said, tremendous work has been done already. We found a lot about that brand by revisiting entirely the metrics of the brand over the last 12 months really but we missed a few very important points. So as effect immediately we will change. The management of dairy in Europe, we need to change the way we work. We will change the management of Activia because we need to adapt the brand much quicker and thinner to the reality of consumer demand right now. And we will change the organization. We've made a decision to bring our global brands in dairy, under the responsibility of Regional VPs therefore suppressing one element of complexity in the organization, getting closer to markets, faster in the discussion between markets and global and in many ways simpler in the way we process and we conduct the needed adjustments to the brand parameters. In the very short term we will rework on the visual identity, on the communication of the brand. We will accelerate some innovations that was scheduled for the backend of the year and we're bringing them closer in time, very exciting new innovations in the Activia brand and we’re going to heavily invest in activation - activation programs of what well on Activia and this is how we would address the short term. Having said that, I don't have a magic word. I couldn't say what and share what Cécile says about a fundamental rebranding of Activia and tell you that after three months of disappointing results, I have the magic solution to bring it back to 3% growth and by the way I have the magic solution to bring dairy Europe back to growth in the very short term. Other than doing practical allocations that would boost sales we don't and so we won’t. And the result is what Cécile said, we will start dairy overall negative this year and Europe will continue to be negative for some time. We won't see any significant results on the rework of the Activia re-launch before 2018. So this is the framework of the elements of guidance that Cécile has shared with you for 2017 when it comes to dairy Europe. Yet, a lot of successes last year. We reignited the growth of our U.S. dairy business, I have able to say that in a global environment in the U.S. where we've seen in the second half slowdown of growth in the food and beverage space, I think the Q4 was about zero or zero plus flats for the overall food category in the U.S. We’ve been able to grow as you've seen in our numbers. We've actually been the one growing in the category with record market share obtained by our teams in the U.S. and in the North America. We've also build the resilience of our Russian operations. I remember for those of you following us already in 2010, 2011, we bought you milk at the time while the margin of the company was zero. It's now into double digits. So we've been absolutely on time delivering this in an incredibly difficult environment in Russia, again a tribute to the Russian and CIS teams but also to the power of our brands including by the way Activia which both in the U.S. is now gaining share back after the re-launch and in Russia by the way. Generate strong and profitable growth in Medical Nutrition, you remember our conversations about is it part of Danone, is it not, its fully part of Danone of our tree, of our mission and it's accretive to our equation. We've seen very strong and very profitable growth for Medical Nutrition in 2016 and we expect that to continue in the future. Our water colleagues have been able outside of the transition of Mizone in China and by the way Mizone with 5% continues to be one of the top three individual brands in the beverage space, NBA space in China. They have been able to seize new consumer trends which as a result or resulted into the mid to high single digit growth that's - we had in water outside of China across geographies last year. Finally we've been working hard in China for ELN to build our direct import model through mom and baby stores in particular, a very successful growth growing now to the point where you remember the times where Internet sales were 75% of our total business and then two-thirds only. Right now we’re talking about half of our business in China. Thanks to the development of our regularly imported direct business in China. And as Cécile said we have been able to re-expand our tailored nutrition business which is truly speaking for the mission of our brands, for ELN and for babies after the Cuijk factory fire that we had two years ago. So we will restart that and this will be significant engine for growth in the future. Finally, I couldn't finish this short reframing of our performance last year. Without saying that, we and I'm proud and pleased of the way we've been able to manage our equation delivering a very strong margin increase in the context where only the discipline, only the power of the brands that we supported as opposed to others and with the few exceptions allowed us to deliver an report today. Now what's going to come next? Definitely I see 2016 as a year of significant progress. It's a progress towards what remains entirely our objective shared with you already for two years by 2020 being able to deliver strong profitable, sustainable growth. We started that journey two years ago and we have been paving the way to profitable growth to start with and clearly with the set of numbers we're releasing today, I think 2016 has been no exception to that with more complex sales environment but an ability to allocate resources between the short, mid and long-term that led to the numbers that Cécile has shared with you. What comes next is soon WhiteWave. WhiteWave is our next phase of transformation in the journey towards our revolution. With two very clear matching corporate missions for the company as you know and this is a chart you have seen already in July, it hasn’t changed, another chart you've seen in July hasn't changed either is that WhiteWave will help us strengthen at that time I said fast forward the writing of our transformation, this is still absolutely the case by on the left side bringing the entire sustainability and sustained growth of both dairy and dairy alternative partly in base fermented products. This is where Danone has a fundamental expertise and where WhiteWave has fundamental expertise and this will underwrite side of this chart, double the size of our business in the U.S., we will be entering the top 15 league of the largest companies in the food and beverage space but by far the fastest growing in the environment that I just described. So you can expect a superior growth by this combined business in the coming few years in the U.S. compared to any other portfolio of food and beverage companies there. And finally, as you know we are creating a very significant partner for our trade for customers being the largest retail refrigerated dairy company. The impact of WhiteWave on the Danone model again shared and reconfirmed today is one about superior growth categories in a stable choice of geographies and in the current environment I can say I'm happy and confident about our choice to bet of the U.S. and North American market primarily with extraordinarily strong potential of development in Europe based on the Alpro business of WhiteWave and our ability to scale it at the global level given our geographical footprint. That will bring an extra 0.5% to 1% additional top line to the Danone model. Significant synergies on which we will come back at closing, which as you know will allow us to be accretive on margin year two and it will be accretive to Danone equation with the strong double-digit EPS accretion on the run rate of synergies that we've identified. So with all of this, we have decided, I have decided that it was time to create the organization for Danone that will take us to our next orbit in this journey. The next orbit is about going from 2017 to 2020 to deliver what's going to be beyond 2020, the next orbit. And this organization starts with something that we have shared with you already. We've been extremely active putting together in a seamless steady manner One Danone organization. One Danone is an organization of 30 locally routed organizations that serve the business, serve the license to operate and the growth of our local businesses by putting together unparallel wealth of experiences, expertise, efficiency of HR of finance, of general secretary, corporate affairs, government affairs, communication, sustainability, legal, ISIT that are going to support that, that are supporting the growth of our businesses in 30 different classes of geographies. We started this as a project and I remember some of you who know Danone told me two years ago, are you really going to do this, are your teams prepared to do this, is your governance going to let you do that because he is so much different from the Danone that we've known. And I can tell you two years later we've done it. All clusters are live as we speak, all of them are live. It's been done in a seamless budget efficient manner and it's only the starting point of our local efficiency but I can tell you that in the current context, I look at this as an incredibly well fit backbone for the future of businesses. We are not about globalization here. We are about making sure that people can make the relevant decisions given the relevant political context, the relevant religious context, environmental context, NGO, civil society context, that we would not be able to do if we had the big shared service of 5,000 people in Geneva. So this is the Danone model of the future and this is the backbone on which we are building now the next layer. That next layer is a new team. On the basis of this 30 clusters of geographies this backbone we're creating a grid of regions which are fully aligned in terms of geography scope which are led by people that we are not going to recruit, they are already there. They are the Regional VPs of each of our four global categories. But we have now aligned a definition of each region. And we are giving them a new role. On top of growing that category in their region, their new role will be two-fold, one is they will sit with their colleagues in their region to look after any relevant agenda of efficiency or growth that can be found in that given region. And second they will form a Danone executive leadership team which will make global companywide decisions at the regional level. So this is a team of people that will make companywide decision but they are at a regional level not a global level which means that we’re pushing down a number of corporate decisions at that level shortening the sockets for decisions, making these decisions at the best point of leverage, much closer to markets and to consumers, as it again we are all making decisions from Paris or from Schiphol, our second big headquarter operationally. And that allows us to basically do a third important move in this next orbit organization, a tighter COM EX team. I've decided to shorter my team from 12 to 8, 30% shorter which will be time, cost and team effective in an unparallel manner and which will allow COM EX to work as a much tighter team on a strategic topics to move the company forward. And the result is that, there will be a strong dedication, strong dialogue in this three levels well identified of decision-making at Danone. Completely that also allows us to create two new very important roles for the future. Back to this three. There is one word on the bottom called EVP resources efficiency which will drive transversal spend efficiency, balancing the short, the mid, the long-term efficiency agenda. Integrating operations into our cycles vision, so all our manufacturing into this vision, and most importantly providing the resources, the ingredients, the sourcing, the roots for Manifesto brands. This is the bottom part of the tree regarding that. And above a position of growth and innovation that we will gather together seamless corporation, processes among all the top line and innovation functions which will provide a framework for category growth and innovation across the company and into the categories and which will identify and drive transversal growth opportunities but also beyond existing categories opportunities of growth and therefore taking care of our brands and of the leaves of our alimentation tree. These two very important roles at the executive committee level functions will allow us to decouple the mid-term growth agenda of Danone. You heard me say, this is a mid-term and it will take time revolution. With the efficiency agenda which starts immediately to its next level which during this next orbit journey to 2020 will allow us to deliver consistent EPS growth. Let me take you briefly through the two curves, to start with the blue curve of long-term growth. We are already paving the way of the alimentation journey I described. Three examples on this chart. The Danone pledge in the U.S. for more neutrality and non-GMO again it's not about 10 years time, it's about at the end of this year, already at the end of this year after 1.5 year of hard work three of our brands, top brands by the way. Danone, Oykos and Danimals, our kids brand in the U.S. will be entirely out of the GMO system, entirely natural that's what consumer want and we deliver that. Avion you heard us say, by 2020 Avion will be fully carbon-neutral. So wherever you enjoy Avion in the U.S., in Japan, in China you enjoy a brand that has stayed and that has replanted trees to ensure that it's carbon-neutral beyond everything we do about reducing our direct impact on CO2. Another example, our commitments that allowed us to join FTSE4Good Index on early-life nutrition. We have pledged that breast-feeding is not a risk as some of our competitors are continuing to highlight in their charts that they share with you. It's not a risk to our business, it's our shared responsibility to ensure that breast-feeding growth. We want to be our self disruptors in this because this is a reality that we need to take care of if we want to be to stewards of a business that would continue to sustainably grow in the future. So that pledge was issued on the 6 June last year and is now rolled out on the global basis. Another trend is about the proliferation of smaller brands. We are running big brands. So what to do about this? First, transforming our big brands in the way I just described but also a few things that we've done. Michel et Augustin is now part of the Danone, or, closer to the Danone family. We have - as you know announced 40% acquisition of their capital. We are helping them to grow and this brand is exactly working in the new way of marketing that I just described. When Starbucks was intrigued by some of the cookies instead of just sending the samples that they were asked to do. That both flew with the team and with all the samples to settle overnight and they offered a coffee and they asked for coffee to Howard Schultz. They actually asked the whole Internet community to support them into getting that coffee with Howard Schultz. So Howard's news flow went and was entirely fed and overwhelmed by contacted by Michel et Augustin requesting that he should meet with the founders of the brand waiting at the bottom door of his office in Seattle. And now these guys very small guys they are in 10,000 shops of Starbucks in the U.S. And they did a better job than we did with Starbucks five years ago in our strategic partnership. So we need to learn and we are learning with these guys. So in essence we are taking all the values on the left that you see on this chart. The consumer values, the long-term trends, and we're making them a reality gradually for two things that you see here. On the bottom, we had incubators that are able to bring us these new ideas, bring us company's brands that work differently, inside and outside of our company and on the top side of this chart, we creating under this function of growth and innovation that will - that Paco Camacho will lead for us a new growth and innovation board that we can encapsulate R&D marketing, sales digitals all together as a seamless process and inviting cycles and operations to deliver the resources, the individuals, the solutions that consumer will be willing to transform our brands going forward. I think Danone is uniquely positioned to get there. You have all the values of our trees that I've already described but there is more. Two things, one is consumers are requesting - you are requesting, your kids will request more transparency more traceability, more fairness for brands, more ethos in many ways and to address these in a very strategic way, we have decided to create a partnership - actually a unique partnership with B-Corp B Lab movements that we signed a 1.5 year ago now. So, Lorna Davis, our Chief Manifesto Catalyst, sitting on the board on one side and we are testing with them what does that mean for a multinational company to work in a B-Corp environment. Only a few significant companies are part of the B-Corp movement today. Most of them are very small startups but you have inspiring brands like Ben & Jerry, like Patagonia, like Happy Family for Danone and we want more. So for instance we accredited Danone Spain as a B-Corp. In a way, the oldest company, the founding company, the core of the Danone history a 100 years ago now is, is now a B-Corp accredited. And is today the second-largest B-Corp in the world. But we will do more. As you know when we closed WhiteWave we intend to encapsulate the North American business combined a $6 billion company into a public benefit corporation in the U.S. It will be 10 times bigger than the next biggest benefit corporation in the U.S. So we are really paving the way towards the transparency and fairness of our brands to not only the brands but the companies. People want to pierce the corporate veil and this is what we're doing with the B-Corp movement here. Another example is Facebook. I'm very proud, pleased to share that under the strong stewardship of the top management of both side, Sheryl Sandberg being herself involved in that, we've been the first FMCG large company to adapt Facebook at work, now we name workplace as our collaborative internal communication system. So we now have nearly 50,000 people at Danone connected by end of this semester 50,000 people, 7,000 users every day, seven working groups collaborative - 700 sorry, working groups connected to collaborate network, design the revolution that I'm talking about within Danone. The other curve is the green curve, the accelerated efficiency. We have decided that it was time for us to maximize our efficiency on the back of the very powerful backbone of One Danone now 30 different clusters geographically, the grid, unified underlying grid of our regions we believe we now can ambitiously rollout a program which will allow us to buy better, to spend better, to work better which is entirely focused on the scope of professional. So this is sales and marketing spending and operation spending. We expect that program to generate €1 billion of savings by 2020. Actually by better, spend better and work better go together. They go together and I'll give you three examples that we've already started. One example is, in 2016 we moved from 34 travel agencies around the world to one. That allows us to travel in more efficient manner, more coordinated manner, safer manner because we know when we have people on flights and not now and where to go and the most cost-effective overall for everyone. Another example is for the first time last year, we organized making sure that we're sharing 300 primary transportation routes in Europe cross category and with outside partners to make sure that we don't have back empty overhauled trucks or that we maximize basically the use of the trucks of our transporters. Just on this one there is €10 million saving on a year. Another example is about digital. For the first time last year we have piloted with Google and Facebook, a joint business plan that will allow us with digital media now accounting for more than 20% of our total media spend to be planning much better, to be more efficient, to be more effective in total and to generate a different kind of discussion with actually all the suppliers when we address them this way which is beyond the transaction, a long-term strategic relationship with the key suppliers, providers that we will choose for our business. This program is actually encapsulated into the resource efficiency role that I described which has to be seen as a seamless but distinct horizons resource efficiency work. So the core horizon of procuring is of course about the short term. The core horizon of our global procurement organization with a new chief procurement officer role created will be the short and the mid-term. And the cycles and operations - functions that we created two years ago will be entirely focused on the mid and long-term transformation of our operations and our entering into the secular economy. So efficiency is not just about the short term. Sustainability is nothing else than the efficiency of the future and that's what we are creating with this very important function. So the mix of both will allow us to deliver what is on this chart again which is decoupling the short-term efficiency and the mid long term growth by ensuring two very important things, consistent EPS growth and fueling our growth model with the savings that we will generate through the efficiency program. I'm very confident that the mindsets of the leadership of this company, the mindset of its middle management, the organizational enablers that we put together is clearly aligned to deliver this agenda. And on top I would like to say that the Beyond Budget small drawing that you see on the bottom right of this chart, which is the process whereby we've suppressed our allocation of budgets every year and where from the vision we are driving a three year horizon plan that translates into a quarterly review with a 12 month rolling horizon of planification for our resource education is exactly what we need to link the two curves together and to deliver the right balance of EPS growth and growth fueling for the future which is the EPS of today and the EPS of tomorrow. So to finish with the same chart as Cécile because of all of that because of our very robust performance in 2016 with this transformation going on, these new roles our organizations, I’m absolutely confident about the guidance that Cécile has added to our transformation journey towards the same objective of strong profitable growth by 2020 of consistent EPS growth on that period. I would like to finish by this sequence which is a 30 seconds sequence of screenshots of what people at Danone are sharing everyday from our Facebook at work, our workplace collaboration across populations, across generations, across functions. I want to share this with you because I think this is how Danone will succeed in the future going through all the political, religious, regulatory, tariffs barriers. This is what makes the Danone network of people unique in this world. This is in many ways also my gratitude that I want to express and my pride of leading the journey with 100,000 change-makers, I'm proud and thankful that's by their incredible passion, their hard work every day, they are providing great horizon, food and water which every day are better for our planets, better for our health. Thank you.
A - Regis Massuyeau: Thanks, Emmanuel. Thanks, Cécile. Time for question now. I think we have couple of questions are within the queue. If you are okay, we're going to start with one on the line - on the phone and we switch to the room just after if any question. So I think we have a question from Warren. Warren if you hear us clear and loud. Can you start please?
Warren Ackerman: Yes. Hi Regis. Hi Emmanuel. Hi Cécile. I hope you can hear me okay. I've got a couple of questions. The first one on the savings, the €1 billion of savings, can you talk about exactly where in the SG&A those savings come from? Maybe the phasing of those savings? And do you expect anything incremental to drop through to the margin, or is this just to support the existing midterm margin plans that you have? That's the first question. And then, secondly, a question for Emmanuel. It's more of a philosophical question about growth versus margin. I mean, you made quite a compelling case about all the things that you're doing, Emmanuel. But I mean, frankly, we still haven't seen volumes for quite some time and if anything, the momentum seems to be going against you. I mean, you've got some very big brands like Activia, I think over €2.5 billion of sales and Mizone, €1 billion of sales. Isn't the fundamental issue that millennials don't want big brands they want smaller brands? I mean, you talk about a new marketing model, but how do you actually turn around some of these big brands to make them more relevant? And how quickly can you do that? Thank you.
Emmanuel Faber: Thank you, Warren. On both elements I think we'll probably have further conversations on the savings. They're coming as I said essentially on professional services, media spends, logistics. So they are all on what we call indirect spend, so basically spend that don't go into the products that go to the consumers. So it's not about our ingredients, it's not about our milk, our plastics that we already address in many ways both in terms of efficiency and sustainability. It's really about the spend of the company as we work together. We expect to balance the allocation of the savings as they gradually come into place and this will be at the very backend of this year and starting really in 2018, 2019 and 2020. We expect to use gun in a way that we'll provide what I said which is consistent EPS growth being really the bottom line on our commitments. And there will be and there may be a different level of reinvestments or margin accretion depending on the opportunity that we see to spend that many against the appropriate sustainable growth opportunities, which links to your second question about growth. Yes, we see everywhere in the food and beverage space smaller brands being preferred by millennials. If I take the example of Activia, we've actually through the campaign gained on millennials. We've actually gained on more senior people in a way, but we've lost on the core of Activia users which 20 years ago were 30ish consumers and today are 50ish consumers. And so this is exactly the balance that we need to find. Modernizing the codes of communication of the brand including packaging, including digital, but making sure that we do not lose the core users for the sake of going after what will be hopefully the core of users of the next generation in five or 10 years from now. And this is true for many of the food and beverage brands we simply have Activia in a very specific situation that tracks back into a number of years in the communication model and faced in two situation in Europe where consumption continues to be not what we would all hope and it's not that we count for a different one but that's where the brand is. So I think the level of ambition of transformation that we had was exactly answering your question and your concern but in the same time was too high compared to where consumers are today in particular in a couple of big geographies for Activia in Europe.
Warren Ackerman: Thanks Emmanuel.
Regis Massuyeau: Thanks Warren. Switching to the room here in Paris, if there is any question. Yes, can we give a mic, Carolyn to Vincent?
Unidentified Analyst: Yes, just to follow up on the last question. So your $1 billion savings program, is it improving your former guidance of 200 basis point margin improvement until 2020 that's my first question. Then can we have also some color on the margin trend in 2017 in dairy and early life nutrition will you have any margin improvement in these two activities. The third one quick one could you give us…
Emmanuel Faber: Can we stop on the first two already.
Unidentified Analyst: Not just finished last, have some color under EPS growth for 2017 will it come from sales growth, margin improvement or something else that's my question.
Cécile Cabanis: Thank you. So basically on your first question regarding the margin improvement objective, we have not changed our agenda and our target including the midterm target in term of margin. What we have said is that for the next few years we are deciding to decouple the mid-term growth agenda and the short-term efficiency agenda, though 1 billion will boost we allocated to making sure we are fueling appropriately the mid-term and long-term growth, and also making sure that we are delivering on our schedules, not that we are changing the way we want to deliver consistent EPS growth which is really the one that we are willing to secure in the couple next year. Then in term of margin target for next year, I think given what I said on what will be the profile of growth in the current environment that will be volatile with some specific microeconomics in Brazil and also some continued transition in China for our both categories of waters and ELN, we will have a more moderate growth. We will ensure that we are delivering on a like-for-like basis strong EPS growth of more than 5%. So obviously we will continue to deliver on our profitable growth agenda for the company. I will not guide more specifically as of now on the different dynamics but what is important to have in mind is that all purpose of our new process in terms of resource allocation, and the fact that we are continuing to work on our efficiency is really what you need to have as securitization that we will make sure that we deliver the right combination of growth and margin to make sure we deliver the results and we continue to transform the company. The idea is not to go to the previous model but really be serious on the destination we have put and presented and making sure we go there in a safe manner.
Regis Massuyeau: Thanks Cécile. Back to queue we have Jon on the line.
Jon Cox: Hi, good morning guys, thanks for taking the questions. Jon Cox, Kepler Cheuvreux. Actually just coming back to the guidance at least 5% EPS growth like-for-like, I’m guessing your excluding currency there and also are you including any dilutory impact from the scrip dividend and I’m wondering what your thoughts are on that scrip dividend because I think you did well a couple of years ago and then you sort of decided not to do them anymore. And then adding to that you mentioned again that you still think double digit EPS accretion from WhiteWave in the full year, assuming that starts April 1, and you said again you expected to be completed in Q1 and just for me for modeling purposes and may be for some of the other people, is it really a matter of adding 7% plus 5% to get an EPS assumption for the year as a whole. And then sort of second question is just because you're focusing on cost savings probably more than the organic growth, are you acknowledging that you think that organic sales growth is actually decelerated at the Danone business model or is it really just to do with the slower than expected Activia re-launch and the issues going on? Is there a structural issue with your business now and that's why you're starting to focus on cost savings rather than organic sales growth? Thank you.
Cécile Cabanis: I think the question on your model Jon and Emmanuel will take the last one. On the guidance of EPS, it is like-for-like guidance, so basically it's the reflection of again the combination of growth and margin from our standalone model, there is no affect in the counter there. For the scrip dividend, Jon you said, you decided not to do it anymore which is not exactly the case, we said last year that we would do a cash dividend but that's - we would decide and keep the option to go for scrip dividend which is the decision that we have taken for this year and which is fully in line with the agenda that we want to pursue including the deleverage of the company and the fact that we leave the option for the shareholders to accompany us in the way they like in terms of the dividend. For the WhiteWave impact on EPS accretion, as I mentioned once we have closed the transaction we will come back with an adjusted guidance. So I will not be very precise on that just to reiterate that, yes the transaction will be accretive in EPS versus the like-for-like guidance that we've given but I will not guide more precisely at this stage.
Emmanuel Faber: Thank you, Cécile. On your other question about the model itself in way Jon, I think it's important to keep the word decoupling because we have had in the past and we continue to have significant productivity agenda that will continue and this productivity agenda Danone has provided actually an even increased level of savings over the last couple of years and that will continue. And we are talking about another layer of efficiency that for many reasons, we have not addressed and that I'm convinced now that we can address with all the organizational and processes changes that we have put together since two years I mentioned One Danone, I mentioned Beyond Budget, I think these are really true enablers, realistic enablers of an effort that the tribe of Danone Managers three years ago would not have been able to either conceive nor even execute. So, we are here with a low hanging opportunity and I would not do my job if I didn't go and seek for this efficiency. And this is decoupled and this is why I think you - your question is valid but the answer is clearly no. There is no relation between the two, it's decoupled and I'm not suggesting in any way the speed at which growth will increase from where it is or where it was last year to what we call a strong growth. It may happen very soon or it may happen later, what I was addressing was the gradual transformation within this growth of the marketing, innovation, brand model of Danone and this will take time and we just want to recognize that it will take time. If we shared the category growth with you I continue to believe that in many ways, this is an opportunity for Danone because the choice of our categories is ahead of the curve of future consumptions and our organization was late on the curve, on efficiency. So we are just driving these two independent opportunities in a way which will be disciplined and which we'll make sure that we use resources for our business not letting them somewhere else where we don’t manage and where we should.
Regis Massuyeau: Jon we switch to other question. I think we have Alex on the queue, is that correct.
Unidentified Analyst: Hi, good morning. A couple of questions on dairy I guess, I wonder if you could just a talk a bit more about the Q4 dairy trends you saw in Europe in terms of volume and price versus Q3 if you be prepare to give us a Q4 volume decline number there. And then as we think about dairy going into 2017, I wonder if you can talk about how we should think about the balance between volume and price. Q4 volume is obviously down around 4%. You talk about steep rise in milk cost so presumably you will be looking to take more pricing. Is it realistic to expect volumes to improve on the down 2% to 3% that we saw on full year 2016? Thanks.
Emmanuel Faber: So, I'll take the first question. Europe overall we expected to stabilize Europe as much as possible based on the swing factor of Activia in the course of fourth quarter, as you've seen it did not occur. So Europe overall has continued to be in the low-single digit negative, anywhere between 3% and 5% across geographies with some key geographies that have aggravated their consumption pattern in the category that includes mostly Spain, where not only Activia but the overall brand situation has aggravated in the course of the fourth quarter. In particular Spain is where we are faced with situation where Mercadona has become very important driver of the codes of the category consumption across the food business. We are working significantly with Mercadona yet in partnership that needs to be brought at its next level. And overall our portfolio in Spain and for Activia in particular has significantly aggravated after the re-launch. And so this is really a country in which Activia has been a swing factor. France is another one where consumption in the category is subdued. We've seen in France the continued depletion in the category in the fourth quarter in terms of price negotiations with the French retail are taking place as we speak. They are in the same vein as the previous one. So this is barely a good news for pricing. This is where we are today. And in terms of volumes they have been negative too. And then you have a bunch of other countries, but really these two ones I think are highlighting the way the category has or our business so in dairy in Europe has evolved in the course of the last quarter.
Cécile Cabanis: So on [indiscernible] it's basically what I guided to earlier meaning that we expect another one negative volume performance for dairy in 2017. This is basically two factors, the first one is as I said we continue to see deterioration in the macroeconomics mainly in Brazil, so Brazil is weighing strongly on the negative volume on the ALMA region. And the second one is what Emmanuel mentioned regarding the situation in Europe and the fact that the stabilization of Europe will take more time, so we will have into 2017 negative volume in Europe. It's not however linked to what you said about the increase of milk price. The increase of milk price as you remember was always our working assumption. We always said there will be a rebound it will come and the way to mitigate the rise in milk price in some country will be to - as who are targeting price increase but basically its countries where there was already inflation. And basically the rebound is mostly Europe and NORAM and there we continue to work on our efficiency and the way we manage our portfolio for an increasing value and mix. So the volume is linked to what I said but not linked to the milk price evolution.
Regis Massuyeau: Okay, thank you. Conscious of time because of we have other commitment just after we may go for final one. I suspect it will be one or two as usual. I think we have David on the line?
David Hayes: David Hayes, hi can you hear me?
Regis Massuyeau: Yes. Clear and loud.
David Hayes: Hi everyone. So just three if I can, so I don't let you down with three questions. First on Activia, you talked earlier I think about the adjustment taking place in the short-term. I mean should I clarify whether that and then going back to your guidance on the dairy profile for the year. Is that adjustment in the short-term a resetting of Activia price point in key markets I guess particularly Spain given some of the comment you just mentioned. And if that's correct, can you just give us some kind of context as how you look at that price point differential to the private label alternatives and what kind of quantum of price resetting might be required in order to try and get that traction back in terms of volume, market share. And then the second question from me was just on the WhiteWave performance second half of the year, I guess one how close are you to WhiteWave currently in terms of understanding why may be there has been this deterioration in some of the performance in the market that we are seeing with some of the data at least in the last six months. And I guess relative to that, can you give us a sense that whether you feel that short-term because of disruption and uncertainty and maybe postpone plans at WhiteWave that have this inevitable impact and that therefore picks up the next year or do you think there is other issues going on there that you think you will address once you get full control of the WhiteWave business. And I'll stop at that in that case. Thank you.
Emmanuel Faber: Thank you, David. So on the first question actually I spoke about adjustments, I did not mean in any way price points, I meant products and communication. So we're reworking the visuals as I said and we are reworking the communication. This will be live in the course of the Q2. And by then we will increase the promotional spend on the brand for activation which has been working in the past and not as much as we would have liked, but which in many ways we've stopped during the Q3 and Q4 and particularly Q4 by focusing on the re-launch itself. So we are really addressing and adjusting the brand not the prices. On WhiteWave there is not much than allowed to tell you. Two things though, in their Q3 communication WhiteWave had highlighted the fact that their plant based beverage business led by silk in the drink part of that business was facing executional issues in shift of brand positioning that started in August and September. And they also highlighted the fact that their executional difficulties and challenges in the Earthbound Farm Fresh salad organic business that they bought a year and a half ago that undergone a complete overhaul through an SAP implementation, they highlighted and they had highlighted before that these wasn't performing as well as they wanted and therefore the rebound in sales and customer service level of that business in the Q3 was not the level that they were expecting. So that's what I can tell for the part that is public about their second half. For the rest if you look from outside there is a continued superior growth of their categories compared to the overall food and beverage category in the U.S. But we will be able to comment further on these short term current trading when I'll be in a position to comment. Thank you.
David Hayes: Thank you very much.
Regis Massuyeau: So thank you all. Thanks for people here in Paris. Thanks for all of you who attended the call this morning.